Operator: Good afternoon, ladies and gentlemen. And welcome to the Isoray, Inc. Fourth Quarter Fiscal Year 2022 Call. At this time, all participants are been placed on a listen-only mode and we will open the floor for your questions-and-comments after the presentation. It is now my pleasure to turn the floor over to your host, Mark Levin. Sir, the floor is yours.
Mark Levin: Thank you, Operator. Good afternoon. And thank you for joining us today for the discussion of the proposed merger with Viewpoint Molecular Targeting and the Isoray fiscal fourth quarter 2022 and fiscal year 2022 full year earnings results for the quarter and fiscal year ended June 30, 2022. Before we get started, I will take a few minutes to read the forward-looking statement. Certain statements in this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. When used in this conference call, words such as will, believe, expect, anticipate, encourage and similar expressions as they relate to the company or its management, as well as assumptions made by and information currently available to the companyâs management identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on managementâs current expectations and beliefs about future events as of today, September 28, 2022, including statements regarding the anticipated synergies and benefits of the proposed merger with Viewpoint Molecular Targeting. As with any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances, and the company undertakes no obligation to and expressly disclaims any obligation to update or alter its forward-looking statements, whether resulting from such changes, new information, subsequent events or otherwise. Risks and uncertainties include whether the proposed merger is completed, and if so, whether the anticipated benefits of the merger are realized, whether an event occurs, including an event with a material adverse effect or a condition to closing the merger is not satisfied, such as failure to obtain approval from Isorayâs stockholders that results in a failure to complete the merger, whether Isoray and Viewpoint are able to successfully integrate their businesses, and whether restrictions on Isorayâs business during the pendency of the merger harm our business. Additional information concerning forward-looking statements is contained under the headings of Safe Harbor Statement and Risk Factors listed from time-to-time in the companyâs filings with the Securities and Exchange Commission. We will begin todayâs call with Lori Woods, Isorayâs Chief Executive Officer; and Thijs Spoor, Chief Executive Officer of Viewpoint Molecular Targeting; and then Jonathan Hunt, Isorayâs Chief Financial Officer will discuss the fiscal fourth quarter and fiscal year 2022 financial results. Following their prepared remarks, we will take questions from our analysts and institutional investors. I will now turn the call over to Lori.
Lori Woods: Thank you, Mark. Good afternoon and thank you for joining us today. With us on the call is Thijs Spoor, CEO of Viewpoint Molecular Targeting. Together, we will be discussing the proposed merger of our two companies that was announced this afternoon. Following our discussion, Jonathan Hunt and I will discuss our fourth quarter and full year results. The proposed merger with Viewpoint Molecular Targeting represents a culmination of a long and rigorous process. Throughout our strategic evaluations of opportunities over the past year and a half, we have examined the evolving therapies and approaches that signal the future of cancer treatments. In line with our focus on treating cancers from the inside out, one therapeutic area that has been of great interest to us is targeted alpha therapy. We have been following it closely and we believe that it has significant potential. As a result and after careful consideration, it is our belief that the merger with Viewpoint represents a solid fit with Isorayâs existing business. It enters us into an initial market opportunity we believe has the potential of being a multi-billion dollar market for the first two products targeting melanoma and neuroendocrine cancers. Viewpointâs treatment approach utilizes alpha-admitting radionuclides to kill cancer cells while minimizing toxic effects. It is this powerful targeted radioactive approach similar to Cesium-131 brachytherapy which led us to Viewpoint. The Viewpoint team has developed a platform of unique, targeted alpha therapy radiopharmaceuticals using lead-212 that produces alpha particle radiation at the site of the tumor. It works together with complementary imaging agents, which can be used to diagnose and then treat cancers. This form of treatment targets the specific cancer being addressed, treating the cancerous area and limiting impact on healthy parts of the body much like Cesium-131. Patients could benefit from this personalized targeted approach that is critical structure sparing, again, like Cesium-131. Lead-212âs limited half life and high potency presents what we believe is an effective treatment of tumors while limiting the damage to healthy tissues. It is our view, as it is of many in the field, that this type of treatment represents the future of cancer treatment. We at Isoray are very excited to join Viewpoint and be a catalyst to advance the efforts to bring this technology to patients around the world. From our advantage point, this merger joins two like-minded medical and biotechnology companies, and the right balance of resources and personnel. These elements provide the fuel to drive both companies forward in the shared belief that personalized targeted medicine that spares patients the difficult side effects of so many existing treatments is the future of cancer therapy. To give you greater detail on Viewpointâs targeted therapies and his thoughts on the importance of the proposed merger, I am very pleased to introduce Viewpointâs CEO, Thijs Spoor.
Thijs Spoor: Thank you, Lori. I appreciate the opportunity to speak with all of you today about this important milestone. In joining together these two innovative and complementary companies, I believe we are advancing the potential to affect patient treatment options in an impactful way. Although, Viewpointâs isotope and method of delivery differ from Cesium-131 brachytherapy, the basic concept is largely the same. Viewpointâs targeted alpha-particle therapies treat cancer from the inside out, while minimizing side effects for patients battling cancer. Before I talk in more detail about Viewpointâs therapies and precision imaging technologies, I am going to give you an introduction to the companyâs history, as well as a look at my own background. Viewpoint came into being just over six years ago when Dr. Francis Johnson and Dr. Michael Schultz recognized the importance of the compelling data surrounding their alpha-particle radiopharmaceuticals and they spun the company out of the University of Iowa. By the way, these two remain with the company today as our Chief Operating Officer and Chief Scientific Officer, respectively. I joined the company in February this year to lead the next phases of growth. I have been charged with building upon their robust pipeline and advancing these programs through clinical development and commercialization. My background includes formal training as nuclear pharmacist, time as a Wall Street analyst, as well as leadership roles in public and private biotechnology and medical device companies both large and small. Most recently, I served as CEO of several clinical stage biotechnology companies, including KBP Biosciences and AzurRx. The talented and passionate team of Viewpoint includes around 30 people, most of whom are scientists and researchers. To-date, the company has raise over $36 million to fund our programs, including $18 million in government grants such as from the National Cancer Institute, which speaks to the compelling data that the company has compiled to-date. Lori gave you a great introduction of the company and I will now dive a bit deeper into the technology so you can see why there is much to be excited about. What I feel is so important about alpha-emitting radiotherapy broadly and Viewpointâs proprietary approach in particular is that not only does it appear in analysis be effective at prolonging life, but it may ultimately prove to be curative in some instances. Our platform, which is based on the use of what are called elemental twins of lead isotopes, provides a distinctive advantage that we can see in advance how our drugs will pinpoint the tumor, which also allows us to calculate in advance in a very precise way how much radiation will be delivered to the patientâs tumor. Our two lead candidates are in the clinical stage and are dually focused on therapeutic, as well as diagnostic use, what we refer to as theranostics. These products are VMT-alpha-NET for neuroendocrine tumors and VMT01 with its companion diagnostic VMT02 for advanced melanoma patients. In each of these, the therapeutic isotope is lead-212 and lead-203 if used in the diagnostic. The isotope is combined with a peptide drug conjugate that is then injected into the patient. This chelator or chemical cage allows the body to transport the highly potent lead-212 particles directly to the tumor or to be eliminated quickly from the body, once the peptide and isotope attach to the cancer cells, the high energy alpha particle start eradicating the targeted cancer cells with a short half life of just under 11 hours. Underpinning our programs overall is our lead-212 isotope generator, which we call VMT-alpha-GEN. This elegantly designed device, which is about the size of a thermos, houses the isotope production system. It auto regenerates overnight and has a shelf life of about a week and it is then returned to the manufacturer to basically be recharged for additional use. VMT-alpha-NET has been used and compassionately used in human imaging in Germany. It is also being utilized in a Phase 1 study that is just getting underway at sites in the U.S., including the University of Iowa. VMT01 and 02 for advanced melanoma are also entering Phase 1 therapy after previously being used in a Phase 1 imaging study. After very compelling results in animals to-date, we have high expectations for what we hope these therapies can do in the pending human trials. Additionally, we have other targets we are working on in breast, prostate and pancreatic cancers that we look forward to updating you on in the future as those programs also progress. In closing, I believe the combination of Isoray and Viewpoint Molecular Targeting presents a unique leading platform company in the targeted internal radiation therapy market. The companies shared vision of treating cancer from the inside out and pioneering effective personalized cancer fighting therapies that aim to minimize unwanted side effects presents a compelling proposition for patients, clinicians and investors. We at Viewpoint Molecular Targeting believe this proposed merger brings together two innovative medical technology companies to create a dynamic new force in the industry. I will now turn the call over to Jonathan Hunt, Isorayâs Chief Financial Officer, who will go over the transaction details.
Jonathan Hunt: Thank you, Thijs. Subject to the terms and conditions set forth in the merger agreement, a newly formed wholly owned subsidiary of Isoray will merge with and into Viewpoint, with Viewpoint continuing as a surviving corporation as a wholly owned subsidiary of Isoray. At the effective time of the merger, each issued and outstanding share of common stock at Viewpoint will be converted into the right to receive 3.3212 shares of Isoray common stock rounded to the nearest whole share, plus any cash in lieu of fractional shares of Isoray common stock and any dividends or other distributions to which the holder thereof becomes entitled to upon the surrender of such shares of Viewpoint common stock. Other than any cash paid in lieu of fractional shares, there will be no cash consideration paid in connection with the merger. Following completion of the merger, the stockholders of Viewpoint immediately prior to the closing of the merger will own 49% of the fully diluted outstanding capital stock of Isoray. The merger is subject to approval by the shareholders of Isoray and Viewpoint along with other customary closing conditions, including receipt by Isoray of attorneyâs opinion and any necessary governmental or regulatory approvals. Upon closing, the size of Isorayâs Board of Directors will increase to five directors with three directors to be designated by Isoray and two directors to be designated by Viewpoint. Lori Woods will be one of the directors appointed by Isoray and will serve as the Chairperson. Thijs Spoor, Viewpointâs current CEO, will be one of the directors appointed by Viewpoint and will serve as Isorayâs CEO. Oppenheimer & Co. is acting as Isorayâs financial adviser for the proposed transaction and Gallagher & Kennedy, P.A. is serving as Isorayâs legal counsel. Sichenzia Ross Ference, LLP is acting as Viewpointâs legal counsel. Additional details along with the merger agreement can be found in the 8-K, which was filed with the SEC a short time ago. I will now turn the call back to Lori to discuss Isorayâs fourth quarter and full year results.
Lori Woods: Thank you, Jonathan. Although our fiscal year 2022 showed continued steadily improving trends, we encountered a few short-term headwinds in the fourth quarter and the current first quarter of fiscal 2023, which has led to short-term sales declines. I will discuss those with you in a moment, but I want to be clear that despite these temporary setbacks, I remain confident in the future growth of Isoray. Our sales for the fourth quarter ended June 30, 2022 of $2.5 million represented a decline of 8% versus the year ago quarter. The primary driver of the sales decline was the 12% year-over-year decrease in our core prostate brachytherapy revenue. There are several factors that impacted our fourth quarter numbers. We believe that increased summer vacation travel for both physicians and patients presented a little more seasonality in the fourth quarter of this year as most COVID restrictions have now removed. At the same time, the increase in Omicron continues to affect our prostate business with patients having to reschedule due to the variations that have resulted in an increase of cases of Omicron. We also experienced the impact of our reorganization of the sales and marketing departments primarily in the fourth quarter. You may remember that I shared with you that our focus here would include the addition of new roles, personnel and a realignment of sales territories. We believe that these changes are critical to drive greater sales growth going forward, particularly in our prostate brachytherapy business. However, the related elevated turnover of the sales personnel in the short-term has impacted sales in some territories during the fiscal fourth quarter. We believe that the recent disruptions from the turnover in the sales organization are largely behind us. We also saw the impact of a separate unprecedented situation with our isotope supply chain over the summer. You may recall that we source our isotope from two reactors in Russia. At the end of July, one of these reactors experienced an unplanned service disruption. Unfortunately, the second reactor entered a planned outage for routine maintenance in August and could not cover our isotope requirements. When we learned of this disruption, we contacted reactors in the United States that could possibly provide Cesium-131 and none of these reactors were immediately available. As a result of this unique and unprecedented situation, we were unable to supply our customers with products for a few weeks from mid-August until the beginning of September. As of September 7, we returned to regular operations and have been shipping product regularly since then as the second reactor in Russia has now completed its scheduled maintenance and is back online. This reactor is capable of covering more than our current isotope supply needs. It is important to note that we believe that this was a unique and uncontrollable situation. This is the first time in the companyâs history that we have had an outage and we do not foresee a repeat of this unfortunate situation. Prior to this unique situation, we had been working on alternative sources of production for Cesium-131 to add to our current supply and to provide the company with ample alternatives in an effort to be prepared should a situation arise that would require production outside our current sources. That process has been underway, but you can understand that it requires extensive research, validation and related due diligence, and will take time. In the short-term, although we do have adequate supply now of Cesium-131, we expect a decline in sales in the first fiscal quarter of 2023 ending September 30, 2022 versus the prior year. We currently anticipate total revenue for this period to be between $1.6 million and $1.8 million. I will now turn the call back to Jonathan, who will go into more detail about our quarterly and year-end results.
Jonathan Hunt: Thank you, Lori. I am going to discuss some of the financial information that was contained in our press release for the fiscal fourth quarter and fiscal year ended June 30, 2022, that we released a short while ago. We anticipate that our Form 10-K will be filed with the SEC today. Revenue for the fourth quarter ended June 30, 2022 declined 8% to $2.5 million versus $2.71 million for the same period last year. Fourth quarter revenue is comprised of 70% for prostate brachytherapy with the balance or 30% of revenue attributed to other brachytherapy, primarily sales to treat brain, which included revenue from GammaTile and GT Medical Technologies. Fourth quarter non-prostate revenue increased 6% to a record $744,000. Gross profit as a percentage of revenues for the fourth quarter ended June 30, 2022 was 37%, compared to 49.7% for the quarter ended June 30, 2021. The gross margin decrease was primarily driven by the decrease in revenue, as well as higher isotope material costs and increased payroll and benefits expense due to greater headcount. Fourth quarter gross profit dollars of $926,000 decreased 31% when compared to the same period last year. Total operating expenses, consisting of research and development, sales and marketing and general and administrative, increased to $3.03 million in the quarter versus $2.44 million in the fiscal fourth quarter 2021. R&D expense increased 70% versus the comparable prior year quarter to $796,000. The year-over-year increase in research and development expenses was primarily through result of higher market research and consulting expenses, as well as increased payroll and benefits expense due to greater headcount versus the fourth quarter of fiscal 2021. Sales and marketing expenses were $654,000 in the fiscal fourth quarter of 2022, a negligible decrease versus the comparable prior year period. Travel expenses were offset by decreased payroll and benefit expenses due to the timing of headcount changes in the quarter versus the comparable period. G&A expenses were $1.58 million versus $1.31 million in the fiscal fourth quarter 2021. The increases in general and administrative expenses were primarily the result of increased payroll and benefits expenses due to greater headcount and employment hiring expenses, as well as increased consulting and travel expenses versus the prior year comparable period. Isoray posted a net loss of $2.08 million for the fourth quarter ended June 30, 2022, compared to a net loss of $1.06 million for the quarter ended June 30, 2021. The net loss per basic and diluted share was $0.01 versus a net loss of $0.01 for the quarter ended June 30, 2021. Basic and diluted share results are based on weighted average shares outstanding of approximately 142 million for the quarter ended June 30, 2022 versus 141.7 million for the prior year period. Turning now to our full year 2022 results, revenue for the fiscal year ended June 30, 2022 increased 7% to a record $10.79 million, compared to $10.05 million for the prior year. Prostate brachytherapy revenue is represented 75% of the total revenue in fiscal year 2022 versus 78% for the prior fiscal year. The companyâs core prostate brachytherapy revenue increased 3% in fiscal year 2022 versus the fiscal year end June 30, 2021. Full year non-prostate revenue grew 23% versus fiscal year 2021 to a record $2.74 million and was driven by growth in sales to treat brain, including sales of GammaTile Therapy. Gross profit as a percentage of revenues for the fiscal year ended June 30, 2022 was 42.8% versus 50.9% for the fiscal year ended June 30, 2021. Full year gross profit dollars of $4.62 million declined 10% compared to the fiscal year 2021. The decline in gross margin was a result of increased total cost of product sales due primarily to higher isotope material costs, as well as increased payroll and benefits due to an increase in headcount versus the fiscal year 2021. Total operating expenses were $12 million for the year ended June 30, 2022 versus $8.57 million in the comparable prior year period. Total R&D expenses increased to $2.58 million from $1.43 million in fiscal 2021. The year-over-year increase in total research and development expenses was primarily the result of increases in payroll as a result of greater headcount and market research consulting expenses versus the prior fiscal year. Sales and marketing expenses increased 15% to $2.8 million versus the prior fiscal year. The increase in sales and marketing expenses were primarily driven by increased payroll and benefits expenses due to greater headcount and increased travel and convention costs when compared to fiscal year 2021. General and administrative expenses increased 41% to $6.62 million versus the prior fiscal year. The year-over-year increase in general and administrative expenses was driven primarily by increased payroll and benefits expenses due to higher headcount and employment hiring expenses when compared to fiscal year 2021. Additionally, the fourth quarter of fiscal year 2021 did not include the majority of annual employee and director stock grants, which were granted in July 2021 subsequent to the close of the fiscal fourth quarter 2021. This reduced overall share-based stock compensation expense in the fourth quarter and full fiscal year end 2021 compared to the fiscal year 2022. The companyâs net loss was $7.3 million for the fiscal year ended June 30, 2022 versus a net loss of $3.39 million in fiscal year 2021. The net loss per basic and diluted share was $0.05 versus $0.03 in fiscal year 2021. Basic and diluted share results are based on weighted average shares outstanding of approximately 142 million at fiscal year-end 2022 versus $104 million for the prior year end. As of June 30, 2022, the company had cash, cash equivalents and certificates of deposit that totaled $55.9 million or approximately $0.39 per share, compared to $63.8 million at the end of the prior fiscal year. The company has zero long-term debt. Shareholderâs equity at the end of fiscal 2022 totaled $61.3 million versus $67.4 million in the prior year comparable period. I will now turn the call back to Lori for closing comments.
Lori Woods: Thank you, Jonathan. As you know, we have worked very hard to establish Isorayâs leadership role as innovators in the field of brachytherapy. To that end, we have introduced the use of Cesium-131 for the treatments of cancers like brain, head and neck, gynecological and lung cancers. We have an ongoing focus on training programs to educate and inform current and future clinicians about the important benefits of Cesium-131 for their patients and are very excited as the data surrounding the efficacy of Cesium-131 brachytherapy continues to grow. Looking forward is what innovators do and as we look to the future, we strongly believe our proposed merger represents an important opportunity to continue to grow the company and to build on our commitments to patients, the clinicians who treat them and to our shareholders. We are at an important crossroads and I have never been more excited about the future of Isoray. I will now turn the call over to the Operator to take questions from our analysts and institutional investors.
Operator: Thank you.  Your first question is coming from Frank Takkinen from Lake Street Capital. Your line is live.
Frank Takkinen: Hey. Congrats and thanks for taking my questions. I wanted to start with a question around strategy or prioritization of the surviving businesses. I guess, I understand how the two therapies are very relatable in how they treat, but maybe I donât see as much of how they are complementary given one is commercial and one is pre-commercial. So I assume itâs kind of a matter of prioritization between the two organizations going forward. So maybe just lay out what it looks like over the next 12 months on focus on Isoray versus Viewpoint assets, and how that can look and how the surviving the organization is going to operate over the next 12 months and beyond.
Lori Woods: We will be happy to do that. Thank you, Frank, for your question. Really appreciate it. We are super excited about this merger and I think in talking about the upcoming months, one of the things Iâd really like to point out about Thijs here is that Thijs has a real strong background in brachytherapy. He understands our business and what we do. So itâs a really great combination of two companies that really view things very similarly and have that shared vision of treating patients from the inside out. Having said that, Iâd like to hand it to Thijs to answer that question.
Thijs Spoor: Sure. Thank you, Lori. And itâs a great question because as we look at any business from a portfolio perspective, you want to look at what are the shorter term initiatives and what are the longer term initiatives. As we look at treating cancer from the inside out, you have one set, which is, puts the devices with one approval pathway and then also the opportunity for a drug with a different approval pathway and different time lines and so itâs really important for us to have this discipline to think through whatâs going to be the best return for shareholders for our short-term and long-term growth and as we really think about what are the resources required and thatâs both people, money and equipment to really make sure we deliver the best value overall to shareholders.
Frank Takkinen: Got it. Okay. Thatâs helpful. And then maybe one on the Phase 1 trial, maybe talk about patients, follow-up, time line, end points, when we could hear about that and get any insight into the results of the Phase 1 trial?
Thijs Spoor: So the -- Viewpoint has several active INDs right now through the FDA. We have two safe-to-proceed INDs on our melanoma program and two on our neuroendocrine program. We havenât given any guidance yet on time lines for when those will enroll and conclude, but we will be doing that at a later date. So now we are -- we have again two active programs each with two active INDs and we will give a much more clear sense of guidance over the next three months as we get closer to actually closing the merger.
Frank Takkinen: Okay. And then maybe just last one for me on the financial related two-parter, making sure I understand the transaction. It looks like itâs the surviving company pro forma shares outstanding is going to be in that 290 million to 300 million range, assuming no reverse splits or anything of that nature. One, is that correct, and then two, what is the cash on the balance sheet give you for a cash runway at this point?
Jonathan Hunt: Yeah. I think, as we look at that, we got a 144 million outstanding right now with Isoray and with that being 51% and taking essentially that as 51, we will be approaching over that -- around that 300 million mark. So thatâs a good way to look at that in terms of the overall shares that will be outstanding post-merger. And then as far as our cash runway, we still feel good about the cash that we have on hand and our uses of that in terms of using that towards the brachytherapy business. But also being able to deploy that towards post close of the merger using that to help facilitate the trials Phase 1 and such that Viewpoint will be going through and we will provide kind of more guidance on that as we go along.
Frank Takkinen: Perfect. Okay. I will stop there. Congrats again and thanks for taking my questions.
Lori Woods: Thanks so much.
Operator: Thank you.  Your next question is coming from Mike Ott from Oppenheimer. Your line is live.
Mike Ott: Good afternoon and congrats on the merger. This is Mike on for Siraj . Appreciate all the color so far on the rationale for the deal and besides the two mentioned pathways, any other programs that -- in the Viewpoint pipeline that investors should be tracking or is it still too early would you say there?
Thijs Spoor: Thanks for the question. Viewpoint has got a really interesting pipeline of compounds based off of a platform technology. As we look at how we develop agents for use. We use a peptide chelator and that peptides can change and so the chelator carries lead-212 or lead-203 to a tumor to either image it or treat it. The peptide, on the other end can change. What we love about peptides is that they actually have very rapid biodistribution. They go very quickly to a target. We can see in all of our early animal work, how it tags to and what to expect. We can see in humans as the peptide chela conjugate accumulates on the tumor rapidly after injection and so we only move programs forward into clinic that we think are very compelling. So thereâs a huge pipeline and innovation engine that we have. We operate labs and the spin out of the University of Iowa and we sort of keep looking at interesting conjugates to really roll through as we find peptide targets that we find very, very compelling.
Mike Ott: Okay. Thatâs helpful. Thanks, Thijs. And then shifting if I could, the core business ex-isotope supply issue and vacations that impacted 4Q, how are patient flows overall today?
Lori Woods: Yeah. Patient flows are strengthening. We did feel seasonality this summer. I think everybody was relieved when all the Omicron restrictions got lifted, and physicians and patients took vacations in record numbers, and so we did feel that. But I feel that we are seeing the return of patients. Although, we have talked in the past about this bolus of patients that are out there that need to get into the pipeline and be treated and we still havenât seen that come through the system yet in the way we might have expected and we are -- thatâs substantiated by the American Cancer Society statistics. They are still projecting that these patients are coming through, but as of yet, we havenât seen them. I am hoping thatâs now going to change as all the restrictions have been lifted and itâs unlikely they are going to get imposed unless something we are unaware of happens in the future that we will start seeing those patients get in to see their primary care doctors and move through the system.
Mike Ott: Thatâs great to hear. Thanks, Lori. And then one last one, this may be premature to ask with the recent sales and marketing changes. But I think back in February, you were initially looking to add two to four new reps over the next 12 months to 18 months. I donât know if you can give us any update on the rep hiring? And then related to that, one of the questions we have gotten from clients is, how is that productivity, maybe revs per rep, if itâs fair to give any kind of numbers, especially around new hires or the existing hires, however, anything you can share there, Lori? Thanks.
Lori Woods: Absolutely. So our numbers are back to where they were previously and we are excited about the people who have joined us and the education they have been going through this summer. We took advantage of the time -- that the unfortunate time we had during the disruption of our isotope supply. But we took advantage of that time to educate folks and spend time getting them ready to go and all hands on deck for this fall. We -- with the merger happening, we are definitely evaluating the number of people in our sales and marketing team going forward and I think we will have more information for you going forward as to how we are going to roll that out. But, obviously, with new technology coming on board, we are looking at that again from a slightly different viewpoint.
Mike Ott: All right. That makes perfect sense. Thanks much for taking our questions.
Lori Woods: Thank you, Mike.
Operator: Thank you.  Thank you. That concludes our Q&A session. I will now hand the conference back to Ms. Woods for closing remarks. Please go ahead.
Lori Woods: Thank you everyone for joining us today. Really appreciate your time. We are so excited about this merger and the opportunity it provides both organizations and we really look forward to communicating all the great news with you coming up this fall and into next spring. Thanks, everyone, for your time. Bye-bye.
Operator: Thank you, ladies and gentlemen. This concludes todayâs event. You may disconnect at this time and have a wonderful day. Thank you for your participation.